Operator: Greetings and welcome to Energy Vault First Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Laurence Alexander, Chief Marketing Officer for Energy Vault.
Laurence Alexander : Thank you. Good afternoon, and welcome to Energy Vault's First Quarter 2023 Earnings Conference Call. As a reminder, Energy Vault's earnings release and an updated first quarter earnings presentation is available now on our Investor website, and we will be referring to the presentation during this call. A replay of this call will be available later today on the Investor Relations page of our website. This call is now being recorded. If you object in any way, please disconnect now. Please note that Energy Vault's earnings release and this call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only estimates and may differ materially from the actual future events or results to be a variety of factors. We caution everyone to be guided in their analysis of Energy Vault by referring to our 10-Q filing for a list of factors that could cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to purposely update or revise any forward-looking statements, except as required by law. In addition, please note that we will be presenting and discussing certain non-GAAP information. Please refer to the safe harbor disclaimer and non-GAAP financial measures presented in our earnings release for more details, including a reconciliation to comparable GAAP measures. Joining me on the call today is Robert Piconi, our Chairman and Chief Executive Officer; and Jan van Gaalen, our Chief Financial Officer. At this time, I'd like to hand the call over to Robert Piconi.
Robert Piconi : Thank you, Laurence. And I'd like to welcome everyone to our first quarter 2023 earnings call. We have a lot to share today, including, as you've come to expect some new announcements. But all of them focused on the key market and financial metrics that are driving long-term shareholder value for the company. I'd like to start as we normally do with what we're seeing in the market in what remains a very robust and growing market for energy storage solutions, along with the positive customer dynamics we are seeing. Of course, to discuss the market, this always begins with numbers and what we're seeing reflected in the movement through our near-term sales funnel. We've put forward a pretty strong commercial outlook going forward that's driven by our near-term funnel that grew in the quarter over 40% to about 37 gigawatt hours. This increase includes notably about $1 billion or 2.8 gigawatt hours of new project awards in the quarter. Of this amount, most of it, about $725 million or 2 gigawatt hour is related to our gravity EBX energy storage technology. These near-term funnel dynamics give us very high confidence in our continued growth and future conversion into bookings. Almost all of our future bookings and new announcements this year will be about building the project revenue that will make up our 2024 to 2025 revenue and beyond. So I'm quite pleased to see this level of overall funnel growth and expansion and new project opportunities into the next 3-plus years and highlight that our 2022 conversion rate from those awards already announced into bookings last year was very high, given our very experienced commercial and technical team and diverse set of capabilities that we bring to the table, and we expect to continue that trend in 2023. Moving on to our customer project execution in the quarter, and it really all starts there for we focus and deliver for our customers. We saw revenue in line with our expectations, driven by construction progress across our battery projects in the United States under a billed commission and transfer model. As such, we recognized the revenue associated with that progress of $11.4 million, while exceeding our plan for gross margin posting 21% on pure battery project execution as well as finishing ahead of our internal expectations on a set of financial metrics, including adjusted EBITDA, net income and EPS and cash on hand. As such, we're reconfirming our full year guidance, which is revenue of $325 million to $425 million; gross margins in the range of 10% to 15% and adjusted EBITDA of $50 million to minus $70 million. Among the big headlines in the quarter is the race towards completion of the world's first gravity energy storage system that is in a pumped hydroelectric dam, which is being deployed in Rudong, China and is expected to be the largest long-duration storage system operating in the world this year. I personally visited the site in Rudong, China in March and witnessed firsthand the strong progress as some of the pictures you may have seen had shown. It's amazing to see that and just looking at the last 4 to 5 weeks since I was there, the recent pictures, which we've posted in our investment presentation online today that already the systems increased 6 to 7 floors in just that period. The system will confirm what we've already demonstrated on a full 5 megawatt scale in Switzerland in 2020, but this time on a larger grid scale of 25 megawatt targeted at a 4-hour discharge window yielding 100 megawatt hours of storage capacity. As commissioning begins this summer and into the fall, we will have that watershed moment. When the 25-ton mobile masses of the gravity system will be moving up and down, storing potential energy and later releasing kinetic energy with round-trip efficiencies that exceed 80%, making this the most energy-efficient mechanical or thermodynamic system in the world as we had previously demonstrated with our Swiss system. Complementing Rudong and on the other side of the world, right here at home in the United States in Snyder, Texas is the second gravity system under construction. This is an investment we are making to own this project, which will have a long-term tolling agreement with Enel Green Power. Construction is progressing well to the site, piling and now civil works coming up to the ground. Again, we have some pictures posted in the investor presentation of this project. It has a targeted completion for the second half of next year in 2024, and this investment gives us a domestic revenue-generating showcase for our gravity solution for all to see and allows us to realize significant benefits from the ITC portion of the IRA legislation as well as benefits from domestic U.S. content. And finally, classification is an underserved energy community, which can yield up to 50% of future cash benefit in total IRA benefits and ITC. China and Schneider and the 2 gigawatt hour gravity award I mentioned earlier, are building global momentum for our solution. And quite frankly, in a market where there's a lot of talk about transformative technologies, our results are real, and we are very proud to be the leaders and disruptors in a new and evolving long-duration energy storage market that is still quite early in its development. As has been highlighted by our diverse customer wins across short, long and even ultra long duration storage projects, our strategy is unique, and our gravity technology is a critical and proprietary component. We're the only company that addresses both today's market need for shorter duration storage using higher density, more efficient battery system architectures and the increasing need for longer and extended duration energy storage using gravity and even green hydrogen as we announced with Pacific Gas and Electric. To do this, we have developed our software platform with our EV solutions team that overlays and manages all of these storage technologies as well as the coexistence and generation systems, even hybrid storage configurations. With that strategic frame on those solutions, I can share that we are executing to customer expectations across all of our projects and on schedule for the 1.6 gigawatt hour of battery and green hydrogen projects from the likes of PG&E in Nevada Energy, some of the largest public utilities in the United States as well as some of the world's largest independent power players, such as Jupiter Power and wellhead. We anticipate Wellhead in particular in California will be delivered in Q3 with Jupiter Nevada Energy to follow before the end of the year. Since all of these projects are running in parallel, during Q1, we had expected investments in project working capital to support the projects at this phase of construction. At project completion, we continue to forecast each project delivering profitability, positive unit economics and a net positive cash flow as we manage the execution into the critical turnover phases. As part of our execution on these growth projects and enhancing our availability to cash, let me also mention a new global relationship with Marshh that we had referred to briefly in our earnings last quarter. As some of you might know, Marsh is one of the world's leading insurance brokers and risk advisers, and they are supporting us with significant capital project surety and bonding capacity, which is required for many of the projects that we execute. This also includes very importantly, requirements for letters of credit, but as opposed to tying up cash on a fully non-collateralized cash basis, allowing us to convert also the remaining restricted cash balances from letters of credit to unrestricted cash. We continue to evaluate other efficient and nondilutive ways to further strengthen and enhance our balance sheet as we execute on a combination of owned and EPC projects that eventually get turned over to the customer. Let's now move on to an update regarding the previously announced Q1 contract with Pacific Gas and Electric to address a special microgrid use case for multiday storage addressing PSPS events or public safety power shutdowns. This has gotten quite a lot of press in the last 2 weeks as the project received formal California Public Utility Commission approval. The project is structured as a long-term tolling agreement with PG&E over 10.5 years. The CPUC recently approved just in the last few weeks, as I just mentioned, for the hybrid battery energy storage and green hydrogen fuel cell system that will provide power in the event of a public safety power shutoff. We are developing the 8.5-megawatt 293 megawatt hour microgrid with planned expansion to up to 700 megawatt hour, thus providing up to 96 hours or 4 days of energy storage capabilities to the city of Calistoga. Along with our customers, we believe that this project will provide a template for renewable community scale microgrids in the future and reflects execution to our energy solution-focused customer mindset as a company. Moving on, there has been a lot of focus in the last few months on the new IRA legislation and the potential impact to our industry and energy. I want to share with you for the first time a very strategic investment that we have made that also involves the IRA that we actually executed in the first tranche in Q4 but chose not to be named in the original announcement. We are pleased today to announce that we have executed on a strategic investment in KORE Power, a U.S. manufacturer of battery cells and modules to build supply continuity on a prioritized basis for the domestic U.S. content for Energy Vault's U.S. customers, supporting our short-duration battery and even hybrid energy storage solutions on a preferred economic basis. In Q4 of 2022, Energy Vault participated in the initial tranche, as I just mentioned, as an undisclosed investor alongside Siemens Financial Services, Quanta Services, Honeywell Ventures and a set of others. In Q1, this past quarter of 2023, we made the second and final part of the investment. The KOREPlex as is called will be built in Arizona and be among the first U.S. battery giga factories built independently of an automotive OEM. In parallel with our investment, we also established a comprehensive battery supply agreement. This investment and supply agreement will significantly benefit our domestic customers with their IRA project eligibility. This investment will maximize our supply chain flexibility in serving our local U.S. customers while ensuring continuity of domestic content supply at attractive economics, further amplified by the current IRA legislation. Complementing the announcement above, I am also very happy to share another new announcement and an important announcement about deepening an existing U.S. customer relationship with Jupiter Power. As all of you are aware, we announced our first project with Jupiter for a total of 220 megawatt hour in the states of California and Texas in 2022. That project is under deployment and is scheduled to be turned over in the second half of this year. We are expanding today the previously announced Jupiter Power partnership to supply domestic U.S. content of battery modules from the original announcement of 2.4 gigawatt hour to 10 gigawatt hour, further strengthening the relationship with Jupiter to ensure supply chain priority on a forward 2- to 5-year planning horizon of project development, while maximizing shared financial benefits from the current IRA legislation. This is so important for our customers as they're doing their planning windows and project development over the next 3 to 5 years. And in fact, from talking to many of our investors that are investing in these projects as well as these same customers, their #1 risk they're solving for is in the supply chain. And that means not only having local supply independent of other countries but also having it at the right cost point and an ability for them to be competitive. And we feel very, very good that this investment now positions us to be one of the best partners in the United States of these same project developers and even public utilities. I'm really excited to continue to partner with Andy Bowman, the CEO of Jupiter and his team. Jupiter is one of the top U.S. independent power providers, which was acquired late last year by BlackRock's alternative groups. We look forward to turning over our first 2 Jupiter projects this year while continuing to build upon our future relationship with Jupiter and projects to come. I now want to tie together all 3 of the investments. I know it's been a lot to digest here over the last 10 minutes. Those are the Snyder Texas gravity system, the Pacific Gas & Electric hybrid system and this investment in KORE power. These are very important and very smart intelligent strategic uses of our capital to not only address our customer needs today, but to position ourselves very well over the next 2, 3, 4 and 5 years with our customers and with ongoing conversion of our large funnel into bookings. These investments are all aligned with our unique strategy that I described earlier, and they all involve extracting very attractive financial benefits from the IRA, which can yield higher returns for our customers. and higher operating margins for our portfolio of solutions. Because of this, both our customers and our shareholders will enjoy the upside from better pricing, margins and cash flows. We will continue to pursue other strategic investments that provide such highly attractive returns. Let me now transition a bit and focus on what is fueling our growth. And that is the focus and tenacity of our commercial operations team continuing to drive our funnel of opportunities that we expect to convert to bookings and attractive margin revenue. Regarding the bookings going forward, our near-term funnel grew by 42% to almost 37 gigawatt hour, as mentioned above. As part of that, our submitted proposals grew by 37% quarter-over-quarter to almost 28 gigawatt hour. Moving through the funnel, our short listings grew by 35% to 2.7 gigawatt hour and our awards grew by 78% to 6.4 gigawatt hour. We remain confident in our ability to convert these opportunities into bookings as we did successfully in 2022 on our project awards. To sum it all up, we are playing in an attractive, large and growing market, one where there has been more energy storage deployed in the past few years than in the preceding decade. We are at an inflection point of growth and, therefore, of opportunity. We also believe we are exceptionally well positioned to grow faster and more profitably than the market as these most recent developments demonstrate that belief is based on our unique multi-storage technology as well as very smart deployment of our capital for strategic investments. Personally, I have never been more excited about where we are today in positioning ourselves to capture this future. With that, I'll turn the call over now to Jan Kees to discuss our financial results in detail. Jan Kees?
Jan Kees van Gaalen : Thanks, Rob. Good afternoon, everybody. For the first quarter of 2023, revenue was $11.4 million, in line with our expectations and primarily reflecting revenue earned from the progress and execution of our battery storage projects. As we noted last quarter, we expect a significant step-up in revenue going into the second half of this year as our revenue cadence tracks the project deployment schedule. We expect to realize about 15% of our annual revenue guidance of the second quarter, growing to nearly 30% in the third quarter and a further 50% in the final quarter of the year. We recognized gross profit of $2.4 million or a gross margin of 21.2%, driven by our ability to earn better-than-expected margins on battery storage projects during the quarter. Operating loss for the first quarter of 2023 was $32.9 million compared to prior quarter operating loss of $25.7 million, driven by a decrease in licensing revenue from Q4. First quarter 2023 adjusted EBITDA was negative $19 million. Our earnings release includes a reconciliation from net loss to adjusted EBITDA. The key noncash item that we added back was $13.7 million of stock-based compensation. The key noncash item that we deducted was $1.9 million in interest income net. As of March 31, 2023, we had $197 million in cash, cash equivalents and restricted cash, leaving us well-positioned to continue to progress towards our growth objectives throughout 2023 and beyond. The main use of cash in the quarter related to equipment purchases for our battery storage projects, which will translate into revenue, positive gross margin and cash in future quarters. Lastly, I want to reiterate our full year 2023 revenue guidance within the $325 million to $425 million range, supported by our contracted backlog. We also reiterate our margin target of 10% to 15%, supported by our offering mix of energy storage projects and IP licensing agreements. We will continue to complement this with various consulting and construction services based on customer needs and demands. We continue to forecast adjusted EBITDA of negative $70 million to negative $50 million as we maintained a disciplined approach to our operating expenses and execute on our additional licensing and royalty agreements.  With that, I will now turn the call back over to Rob.
Robert Piconi : Great. Thanks, Jan Kees. Before getting to questions, I want to thank the employees and the team here at Energy Vault for your continued dedication and customer focus. The results of which we've just talked through, especially in the type of volatile markets that we live in today. I also want to thank our investors and our broader energy ecosystem partners that share and support our mission of decarbonization. I'm happy that we continue to make significant progress on the development of our groundbreaking and innovative energy storage solutions that are solving complex customer problems as they make their own clean energy transition. This is the Energy Vault way and underscores our purpose and existing as a company.  With that, operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Joseph Osha with Guggenheim.
Hilary Cauley : This is actually Hilary on for Joe. And I first wanted to touch on the pipeline there. You had a pretty big uptick in both the submitted proposals in short-listed projects. I'm just wondering if you could share any additional color on what the composition of that looks like as well as conversion rates and timelines for when we'll see that become awarded business?
Robert Piconi : Sure. Thanks, Hilary, and good to hear again. Yes, first of all, what I'd say about across those categories of the funnel, okay? The submitted proposals, the short listings and our new awards, there is no one dominant technology or duration. So what I can tell you is that generally, we continue to see the strength, in particular, in the European and the U.S. markets around the shorter duration opportunities. We continue to see demand, and I'd say, earlier than the rest of the long-duration market for our gravity system. So I do want to highlight that, that we announced 2 gigawatt hour of gravity systems under EBX. And then generally, we continue to see a lot of interest from our customers following on the Pacific Gas and Electric announcement. They're looking to solve unique needs that involve, in some cases, backup system, microgrids, the use of new technologies to help meet those needs in ways where they do not have to rely on diesel generators or natural gas and really working to look at bringing renewable solutions to the table. So I would say, generally, to the first part of your question to characterize it, we're seeing activity across various parts of our portfolio and solutions. The second thing I had addressed in your question, which is timing of flow-through, that depends project to project as we continue to see. So as we looked at last year, we were able to convert on a lot of the larger opportunities that we're now executing this year. We see no reason why we're not going to continue to do that this year. And in terms of time frames, these projects, I would categorize in terms of timing to think about in -- I'll start with our existing customers. So we have some projects that are follow-ons with, for example, existing customers and those can move pretty quickly through our funnel because they're already set up with a legal basis contracting our teams know each other. So those can move in 90 days. And so we would expect to see some of those things move more quickly. Other new customers where we're beginning to establish those relationships or there's additional timelines or permitting involved, those will move on a 3- to 6-month basis. And there's a big chunk of projects there. The third thing influencing timing has to do with some of the requirements on the customer and to close things like permitting or close on other final approvals, where they have chosen, in some cases, to lock us in, meaning to actually issue an award to us, so where we've been chosen. And then there's the contracting time frame that may be influenced by any additional approvals required on their end. We have some customers that are happy to move into an actual booked contract while there's still some final approvals required that are more procedural, I think PG&E is a good example of that, where we announced and did a contract with them and then moved to an expected Public Utility Commission approval, which just happened a few weeks ago, and that was in line with their time frame. So to use as an example, they had set May 15 as their date for when they expected that approval. And in fact, it came a few weeks before that. So all of those things will influence that flow through the funnel. I guess the last thing I'd say about that is we do have some strategic investors that obviously know us very well. They are investors in the company. And typically, those types of solutions and discussions can also move potentially on a pass-through basis. So I would say to range it, I'd say, anywhere from 90 days to up to 9 months plus just pending timing on some of the longer duration and strategic large projects in particular.
Hilary Cauley : Great. Second question, just on the gross margin profile of the business. Just wondering if you can provide a little more detail as you look beyond this year, kind of between the cost structure as well as the revenue mix there? And kind of what the different puts and takes are and how we might expect to see that margin ramp?
Robert Piconi : Sure. Well, since you asked about next year, one of the things we announced today is the investment in KORE Power. So as we're -- as we look at the market over the next 3 to 5 planning horizon, and we do that as informed by our customers. So we do a lot of planning with our customers. But what we -- some of the things we announced today have to do with enhancement of that margin structure. As you know, our range this year is 10% to 15%. And as we reaffirmed, we expect to be within that range. We obviously had a slightly better performance of over 20% on pure battery project execution revenue this quarter, but we still maintain that range of 10% to 15% for this year. Everything we're building and doing as we volume and scale as a company should have an enhancing effect on our margins. So we're going to be demonstrating the first gravity system, of course, this year. As we look at building those out, we're going to be building them out in a way that will increase volumes across the supply chain, and we're going to expect benefits there in our margin structure to evolve on the gravity systems. As well, the actions we're taking and the types of agreements we're signing with our partners now and looking at even the short duration market are all focused on, I would say, not only margin, but in particular, supply chain continuity. It's interesting, as I mentioned, with the Jupiter discussion, a lot of the focus and risk from investors that own independent power providers or even generally in strategic companies that are deploying energy storage, large industrial companies, they're very focused on ensuring that they're actually going to have access to the supply to meet their commitments. And given what we're seeing in the geopolitical arena, you can understand why that's the case and which actually led the U.S. to be, I think, ahead of the pack here with the new IRA legislation, which encourages that local domestic content. So this aspect of energy independence is driving this focus on supply chain annuity and continuity, and we're out in front of that. And net-net, that will be a decision factor for our customers. And hence, given how we're positioning ourselves, I expect that to have a margin-enhancing benefit for us as a company as well in the going forward years that you were asking about. So in the next 3- to 5-year planning window.
Operator: Next question comes from Chris Ellinghaus with Siebert Williams Shank.
Christopher Ellinghaus : I'm sorry, Robert, I think I missed this. I think you were making some comments about the Texas project and I didn't hear what you said. Could you just repeat that?
Robert Piconi : You mean during the prepared remarks or from the last question?
Christopher Ellinghaus : Yes. No, the prepared remarks.
Robert Piconi : Okay. Yes, I just mentioned our -- the Enel project, which is in Snyder, Texas, and that's the second gravity BX system that's being built. They progressed things through pilings and civils and into the foundations now that they're getting into in this phase. And I think we've shared a few pictures of that as well. So that is a tolling agreement. So we're building that project out, and we're expecting that project to be fully online in the second half of 2024.
Christopher Ellinghaus : kay. Great. Do you have any color that you can provide and why margins might have been a little more than you had expected?
Robert Piconi : Yes. I'd say two things. One is we executed well in terms of maintaining our schedules and maintaining the relationships on the supplier base and with the local customers to ensure that we don't trigger any issues schedule-wise or any additional problems in the field that would need to be managed that would increase costs. So I'd say one aspect is better execution, I'd say, ahead of plan in terms of how we're managing projects and any associated contingencies with them. And the second piece is you're seeing now for the first time some pure battery revenue that doesn't have any IP licenses, for example, in the gross margin line, we do recognize some of the ongoing IP licenses but down into other income. So we've been pretty clear, Chris, about our positive unit economics. I know there was a lot of questions earlier as we started to announce battery projects given other companies that have had negative gross margins, for example, in that space. We've always highlighted how we've not only contracted the projects, but also the fact that we didn't win these first projects by buying them. We didn't underprice them. We won them because of differentiation we provided that other companies couldn't -- and at the end of the day, that has to be reflected in margins. That's it. So I think the market, and as you'll see quarter-to-quarter, we will remain focused on that execution. Obviously, things can happen in the field. We're very focused on ensuring that we meet the customer expectations in that regard. And while dates might move because of things on their end, meaning permitting or other customer-driven changes, as I mentioned and reiterated, we are on track on all of our projects to the customer expectation. Now whether that date moves a month or two because of things on their end, those things happen and any time you're building things out in an EPC model. But as I stated in our update, we feel good about our current execution and are managing the project so that we can stay within the range as we said. And in this case, in this quarter, we did above our range of 10% to 15%. Does that make sense?
Christopher Ellinghaus : Yes, it makes sense. Can you give us any more color on the KORE power investment? What are they saying their expectations for domestic production look like today?
Robert Piconi : Well, I think from their own public announcements, they're projecting to be in actually producing their fully integrated cells here in the next 12 to 24 months. So they're going to speak to that and give those updates. But they're already a U.S. company. So to be clear, KORE isn't -- didn't get just newly formed because of the IRA legislation. So they are a U.S. company. They've been here. They make lithium batteries today, and they're going to be expanding that operation in a very, very large way as you could get a sense of from some of the things that we just announced. So -- so we're -- we took that action in looking at the market, Chris, not only just to participate as a customer, meaning like many of our companies in our space. Now that domestic production should become a reality of lithium ion in the U.S. Many companies will be advantaged in terms of having that local content. However, we chose to actually participate in it and therefore, get some advantages around both supply continuity as well as preferred economics by becoming an investor which with one of the early adopters. And so that's what's behind it and why we're excited to make that move. And I think you heard the announcement with Jupiter on the expansion by a factor of 4 -- 3 to 4 on the scope of domestic battery content for one of the largest independent power players in the United States.
Christopher Ellinghaus : The gravity awards are particularly interesting. Can you give us any more flavor for types of customers or timing or locations, any of those sorts of things?
Robert Piconi : Right now, we are going to be providing -- the only guidance is providing the regional -- some regional pieces of that. So it is a -- they are projects that are outside of the United States. And they are projects that we're going to be expecting to now as we are already working on the contracts to convert those into bookings. So most of the things you're going to hear from us in terms of new bookings announcements, there may be some revenue that gets into this fourth quarter, but most of it will be for the years going forward in terms of revenue recognition that we will be executing in 2025 and even into 2026, given the size of these deals. And that obviously puts us in a very strong position and makes us feel very good that we're not only executing this year on things we've already contracted that gives us very good visibility. But now a lot of the awards and the bookings we're going to be hearing will be about building out that future growth of the business over the coming 2 to 3 years.
Operator: Next question comes from Brian Dobson with Chardan.
Greg Pendy: It's Greg Pendy in for Brian Dobson. Just one quick one and I guess dovetailing on that last question. You mentioned that the 2 gigawatts are outside of the U.S. on the gravity system. Is there anything unique about having a system in Texas that would showcase it more towards domestic clients? Or do you think that it's fair to say that China will still at least showcase the technology when that's completed in 2Q?
Robert Piconi : Sure. So what I'd say is, for sure, China will be the first system up and operating at that scale. So they were well ahead of the pack, and so they will be the first system, but also to be clear, the United States market is also an important market for our gravity systems. That's why we worked and collaborated with Enel, the largest global IPP on having that system in Texas. So the United States remains very important, the largest market for energy storage in any event. Interestingly, it's primarily short duration today, but we'll be continuing to evolve to longer duration from the, let's say, the 2 to 4 hour, we're going to begin to see 4 to 6, I think, here in the coming 12, 24, 36 months. But that doesn't minimize the opportunities for gravity and we're looking at capturing those, in particular, with the IRA legislation that's focused on domestic content, right? So we have that today in gravity. We don't have to go build giga factories. We have it today, so we can capture that. And I think China will play an important role in demonstrating not only the operating the technology but something very important around our round for efficiency and the efficiency that we can achieve with that system. So -- and I know we're talking about those 2 markets, but Europe, Australia, those will also be good markets for our gravity solution as long duration becomes more of a need in the market in the coming years.
Operator: Next question comes from Thomas Boyes with TD Cowen.
Thomas Boyes : And apologies if any of these were covered in the kind of the prepared remarks. But first, I just wanted to dig in a bit more about awards where you're winning with solutions that incorporate green hydrogen with you given the early success there. Are there specific pockets of demand that you see maybe on a geographic basis or certain customers that you think would be disposition to that type of an approach?
Robert Piconi : Yes. So I would say microgrids in the U.S. generally, which is essentially what we're building in Calistoga, although that will be connected as well, but just we'll have a special microgrid focus on the city Calistoga. So I would say, generally, that use case takes different forms, but the general case of the microgrid is very relevant to the United States, especially regionally in certain areas that are solving for potentials for planned shutdowns and even unplanned shutdowns, okay? That's a primary use case. And in emerging markets, where a grid doesn't exist, for example, where you have to build out microgrids. So I would say it's going to be something that will be targeted at certain applications and in certain locations where there's a need, for example, for multi-day storage. The reality is there's really not any long-duration technology out in the market that's proven at scale today. So our gravity is going to be one of the first ones that's not Pumphydro at a large scale. If you add in what we're doing with this multiday storage, it's unique because it also has a hybrid component of lithium-ion batteries to it to meet Black Start and grid-forming capability. So if you look at that and go to multiday and we're going to have that up scheduled for mid next year, we're going to have some of the first longer-duration solutions in -- out in the market operating at this type of scale as well in the world. And that is a longer duration market heats up, we're going to be, therefore, in a very good position to meet those needs. But I think that these hybrid type of solutions where customers have some unique needs is where we do see the potential use of green hydrogen as a what we call an ultra-long duration or a multiday type of storage medium that today really has no corollary in the market.
Thomas Boyes : And then maybe as my follow-up. Just -- I think you had previously identified 1 gigawatt hour of projects where you're going to be operating as the system integrator with the kind of the battery hardware procurement being taken or undertaken by the customer. How have you been seeing traction with this approach? And do you have maybe an update a gigawatt hour basis just for integrator work relative to where your backlog now is?
Robert Piconi : Sure. That gigawatt hour represents those first 3 projects that are in deployment and exactly to what you said. Those are under what's called the build commission transfer model. It doesn't stop there. So we are doing additional management post turnover, so including long-term service agreements, maintenance in one of the cases, we'll also be doing some asset management. So those will have longer tail revenue and margin streams for us outside of those. But that model, to your question of what else are we seeing with those, that is pretty much the standard model we do for the shorter duration solutions where you have either public utilities that can have a base rate asset or independent power players that are investing in those solutions and providing them over long-term agreements, for example, 2 utilities themselves. So in both of those cases, they want to own those solutions. And it's not our business model to compete with our customers in any event. We do have some customers we mentioned Enel Green Power gravity system and the hybrid system for Pacific Gas and Electric, where we will be owning those systems and in fact, be signing long-term tolling agreements with those. Now we don't have to own those forever. I would say there's other type of funds, pension funds or other type of groups that like to own these long-term sort of fixed and nice predictable cash streams and cash flows. So that's not necessarily our long-term model. So I wouldn't rule out, for example, us potentially selling those projects pulling in that cash. But in all cases, we'll continue to do the asset management, assuming it fits that buyer's model. And that's another interesting part of our evolving business model that's also margin accretive.
Operator: Next question comes from Noel Parks with Tuohy Brothers.
Noel Parks : I have a couple of questions. You've talked a bit about sort of geographic reach of the gravity product. You mentioned in particular Europe and Australia will also be good markets for long duration. In the past, I know you've talked about the first installation in China, attracting a lot of domestic attention there. I just wondered if you just had any updated thoughts on nature of that interest when you think it might materialize. Or is this an inflection point ahead.
Robert Piconi : Sure. There's been some announcements there locally in China that involve our partners with multi-gigawatt hour gravity storage projects using, obviously, our technology there. And so those are announcements we have shared or put out through our socials. We typically don't make follow-on public announcements of that. But there is absolutely a lot of interest there locally. And even from -- by the way, other customers that we have across the world that want to go visit the site and some already have. So what I'd say is what we're -- I was very happy to see is before we're even operating the system, there's been follow-on announcement of between 2 to 4 gigawatt hours and broad initiatives. One of them in particular is called the Zero Carbon Park initiative. And some of those things are being done in partnership with some of the largest players in China like Three Gorges Power, which is the largest pumped hydroelectric asset management and engineering company in the world. So those -- that's all encouraging to see, and that's going to drive royalty. Those were all drive royalty streams which we've been public that that's a 5% off to top project royalty stream for us.
Noel Parks : Great. And I was wondering on the just on the software and technology side, with everything that's being coordinated through EVS, are there any particular milestones ahead for system enhancements or other things that help add to the selling proposition or a response to customer feedback you've been having over this past year or two?
Robert Piconi : Sure. I'd say two primary things. First of all, and let's just talk about what's happening this year for the first time. We're going to be turning over our first battery systems this year and with that new software system. So I'd say one of the first milestones is the fact that we are going to be turning over on time and commissioning these systems. So that's -- those will be the first milestones, and there's 3 of them this year because we have 30 projects we're going to be turning over. Secondly, we were chosen as well for our -- what we call our energy management system, which is the system that in addition to running the core operations and management of the battery store system itself, there's other higher-end capabilities in a software platform, what we call our EMF, our energy management system that is not only managing the storage but can also manage the existence of other generation technologies, so that can be wind, solar and even fossil, but also manage other energy storage technologies. So those functionalities, which we were selected, for example, by a large Western utility for our energy management system over the last 3 to 4 months, those milestones that you're going to see are providing other functions that are a higher level that get into things like the economic dispatching, for example, and charging of the system. So in addition to managing the battery system itself, some of those milestones we're going to see post these first turnovers and will be the result of, therefore, higher value-added systems, which will generate a higher software content and a higher portion of the deals, which will enhance our margin capability. And those milestones are going to be coming later in the year and into 2024.
Operator: There are no further questions at this time. I would like to turn the floor back over to CEO, Robert Piconi for closing comments.
Robert Piconi : Great. Thank you. And I want to thank everyone for the questions. I thank all of you for joining the call. Here are investors, I know our employees join this and partners and others out there. We feel really good about our progress and just close to saying that as you've come to expect from us, we've made some new announcements here and things that are all focused on, number one, our customers and executing well for them; two, putting together and enhancing our portfolio to provide more value-adding solutions to them, in the end, driving the long-term shareholder value of this company. Thank you very much.
Operator: This concludes the conference today. You may disconnect your lines at this time. Thank you for your participation, and have a great day.